Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Six Flags Entertainment Corporation First Quarter 2025 Earnings Call. [Operator Instructions]. And I would now like to turn the conference over to Six Flags Management. Go ahead, please.
Michael Russell: Thanks, Abby, and good morning, everyone. My name is Michael Russell, Corporate Director of Investor Relations for Six Flags. Welcome to today's earnings call to review our 2025 first quarter financial results for Six Flags Entertainment Corporation. Earlier this morning, we distributed via wire service our earnings press release a copy of which is also available under the News tab of our Investor Relations website at investors.sixflags.com. Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties and that could cause actual results to differ from those described in such statements. For a more detailed discussion of these risks, you may refer to the company's filings with the SEC. In compliance with the SEC's Regulation FD, this webcast is being made available to the media and general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content on this call will be considered fully disclosed. On the call with me this morning are Six Flags Chief Executive Officer, Richard Zimmerman; and Chief Financial Officer, Brian Witherow. With that, I'll turn the call over to Richard.
Richard Zimmerman: Thank you, Michael. Good morning, everyone. Thanks for joining us today. I would like to start by sharing my perspective on where we are as we ramp up operations at all 42 of our parks in our fourth full year as the new Six Flags. We are making meaningful progress in tapping the full potential of the merger. We are seeing stronger market response to our exciting new slate of rides and attractions. Improving guest satisfaction ratings and executing on our plans to deliver significant cost savings. I'm very pleased with the pace of the integration work, and I want to thank our teams for their tireless efforts on all fronts over the past several months. As we noted in our earnings release this morning, our results showed the operating loss that is typical for a seasonal business that has very few parks in operation during the first quarter of the calendar year. While the operating loss in the quarter was greater than the combined loss of the legacy companies in 2024, it was only slightly greater than what we expected in our operating plan and was consistent with the level of off-season investment necessary to prepare our parks to open. Despite the weather and other macro-level challenges we have faced to begin the year, we remain confident in our outlook for the business and especially in our 2025 operating plan. Our plan was built around a strategy to minimize lower-value operating days, particularly in the first and fourth quarters, maximized the number of operating days in the second and third quarters that make upfront investments that will enhance the guest experience and drive demand and revenue generation as we head towards the heart of the 2025 operating season. Our confidence is backed by the solid results we generated in April despite recent weather issues. The positive momentum we are seeing in long lead indicators, such as season pass sales and school and used group bookings, and the excitement being generated in our markets by the compelling slate of new rides and attractions we are introducing this year. While overall April results fell short of expectations due to the recent bout of cold and wet weather, we are nonetheless encouraged with the improving trends we saw, particularly on good weather weekends earlier in the month of April. We are also pleased with the April trends in season pass sales, positive momentum that is encouraging as we head into the peak sales months of May and June, which combined are expected to represent close to 40% of the full year sales cycle. And as more parks began to reopen last week, bookings at our resort properties trended higher, up more than 10% versus the comparable week last year another positive indicator consumers remain engaged as we get closer to daily operations in the peak summer season. Most importantly, we saw no detectable change in guest behaviors in April despite broader market concerns when the weather was good, we were encouraged by the strong demand we saw. Our guests continue to demonstrate a willingness to spend on goods and experiences they value reinforcing our view that high-quality close to home entertainment options like ours are highly resilient, even a choppy macroeconomic environment. We believe this positions us well to achieve our 2025 performance goals. While the economic landscape remains unclear, we continue to focus on what we can control, executing our merger integration plan, optimizing our cost structure and enhancing the guest experience to drive demand. We remain firmly on track to achieve the $120 million in merger cost synergies by the end of the year, 6 months earlier than originally contemplated at the announcement of the merger. As Brian will outline in a moment and in keeping with our operating plan, we now expect current year operating cost and expenses to be more than 3% lower than combined 2024 actuals for both legacy companies. As part of our cost reduction plan, we are engaged in a corporate restructuring process designed to flatten our organizational structure, streamline decision-making and drive cost efficiencies. As an example, earlier this month, we eliminated multiple senior executive leadership positions at the corporate level and consolidated functional ownership under a few key leads. These changes and others we have underway will create new opportunities for the next generation of leadership within the company, support the cultivation of talent across the organization and meaningfully reduce cost. Once this initiative is completed, we will have reduced our full-time headcount by more than 10%. Our system-wide reorg effort along with additional cost saving initiatives we've identified post-merger are designed to reset the company's cost base and deliver an incremental $60 million of cost savings above and beyond our original synergy target by the end of 2026. Before I turn the call over to Brian to review our results in more detail, let me take a moment to address the evolving tariff situation. While recent developments in U.S. trade policy have created marketplace uncertainties, based upon the tariffs as currently outlined, we believe our exposure is relatively limited. The fact that labor represents more than 50% of our operating cost structure inherently minimizes the potential impact of any new tariffs. On the non-labor portion of our cost structure, we believe we are well-positioned to substantially absorb or offset any impact without significantly affecting our cost structure, our margin outlook. Naturally, our teams are already actively working with suppliers and sourcing partners pursuing mitigation strategies to offset these impacts through material substitutions, alternative sourcing and where appropriate, pricing adjustments to protect our margins. We will continue to update the market as additional clarity becomes available. With that, I'll turn the call over to Brian for a review of our financials. After his remarks, I'll return with some closing thoughts. Brian?
Brian Witherow: Thank you, Richard, and good morning. I'll begin by providing some additional color on our first quarter and April results before providing an update on select balance sheet items. First, it's important to remember that the first quarter is not indicative of full year performance. We would normally expect the quarter to represent roughly 7% of full year attendance and revenues, and we incurred considerable costs during the first few months of the year related to preparing our parks to open. A small number of operating days and the higher fixed nature of our early season cost structure limits our upside and makes even small variances performance look more meaningful than what it really reflects in terms of full year performance. Based on actual first quarter results, this year's first quarter performance tracks closer to approximately 5.5% of full year attendance and closer to approximately 6% of full year revenues based on our current full year outlook. As we noted in our earnings release this morning, first quarter results were impacted by operating calendar shifts, including strategic changes that were made to key park events such as the Boysenberry Festival at Knott's Berry Farm, which shifted in the second quarter this year. While coming into the year, we had planned to have approximately five fewer combined operating days in the first quarter compared to last year. We ended the quarter with 14 fewer days, the result of managing our park operating calendars tightly in response to inclement weather and other cost savings objectives. The fewer operating days, combined with the shift of the Knott's Berry Farm, Boysenberry Festival to the second quarter were the biggest drivers of first quarter year-over-year attendance and revenue declines. Timing variances that we expect to reverse in the second and third quarters as we expand our operating calendars, particularly at our parks where the opportunities for attendance growth are the greatest. Looking at April demand trends, which even out some of the early season calendar shifts, attendance over the past 5 weeks was up a little more than 1% compared to the prior year. This was despite the Midwest being plagued by heavy rain and cooler than normal temperatures over the last 2 weeks of the month. a strong indication that demand for our parts remain strong when not disrupted by weather. We estimate the impact of weather on April attendance was approximately 175,000 visits. Normalizing for the weather difference, April attendance would have been up approximately 8% on a year-over-year basis. Meanwhile, guest spending trends during the first quarter were also affected by the operating calendar changes. This led to a mix shift to lower-priced tickets in the absence of higher demand events like the Boysenberry Festival, which also shifted higher in-park spending visits into the second quarter. As expected, April per capita trends improved from the first quarter, consistent with the shift in our operating calendars and higher attendance levels. Based on trends to date and the strategic initiatives we have planned for the season, we expect for capital spending to continue to increase as we get deeper into the season and attendance levels move higher and length of guest stays increase. Coming out of the first quarter, we were pleased to see momentum in the sale of season passes and membership strengthen. The recent robust performance despite the weather disruptions at the end of April, narrowed the sales gap to prior year to approximately 2% in terms of units sold and 3% in terms of total sales. Shortfalls that our team is focused on closing as we head into the critical May-June sales window. Based on our current program strategies, we expect the average price of a season path at our legacy Cedar Fair parks to be up 3% to 4%, and over the balance of the sales cycle, while the average price at our legacy Six Flags parks is projected to be essentially flat to prior year, the result of changes to the product structure and a mix shift in past types sold. While disappointed to see attendance over the last 2 weeks of April impacted by weather after building such strong momentum earlier in the month, it's important to note that April only represents roughly 20% of expected second quarter attendance and revenues. Meaning there is ample time over the balance of the quarter to build upon the positive demand trends we generated earlier in the month. Based on Current Park operating calendars, we are expecting to pick up an incremental 37 operating days in May and June, bringing our projected total second quarter operating days to 2028, up 36 days from the second quarter last year. This should bode well in expanding our opportunities to drive higher levels of tenants and revenues in the quarter. Shifting to the cost side of the business for a moment. From a cost perspective, our teams delivered results largely in line with expectations during the first quarter. While there were some anticipated cost timing differences that should reverse over the next 2 quarters, we expect where we kept controllable variable costs in Shack without disrupting the guest experience. In the quarter, we incurred $15 million of nonrecurring merger-related integration costs and another $5 million of adjusted EBITDA add backs for cost at just severance and commercial liability settlements. First quarter operating expenses were largely consistent with expectations. The somewhat higher level of spending was driven by two primary factors. First, a pull forward of pre-opening maintenance work to ensure our parks were prepared and a rises were licensed and ready to open on day 1. And second, an increase in early season advertising, a strategic decision to support season pass sales and drive higher demand. These decisions resulted in an estimated expense timing difference in the quarter of approximately $10 million, which we would expect to reverse over the balance of the year. While remaining nimble in our approach, we are committed to making decisions like these that set us up for a much stronger performance as demand builds into the key second and third quarters, which by themselves are expected to represent 95% or more of a full year adjusted EBITDA. At the same time, as Richard noted, we expect the steps we are taking to optimize our cost structure will reduce full year operating costs and expenses by more than 3% this year, inclusive of our second year of merger-related synergies. This aggressive cost savings effort is intended to provide some downside protection against any potential weakening in consumer demand this summer. The targeted cost reductions do not contemplate any potential outsized impacts related to tariffs, which we expect to be minimal based on the available information at this time. As we noted in this morning's earnings release, we are maintaining our full year 2025 adjusted EBITDA guidance of $1.08 billion to $1.12 billion. Our confidence in our ability to deliver another strong performance this year is underscored by the resilience of our business model as demonstrated in the past by the rapid recovery from macro events, including the Great Recession of '08, '09 and the COVID disruption. As a close to home, less expensive and less complicated choice for entertainment, our parks have historically performed well throughout various cycles as families always find a way to make time for fun. We believe those same staycation attributes are even more relevant today and combined with an outstanding 2025 capital program, position us well as we head into the peak summer season. Now turning to the company's balance sheet for a moment. We ended the quarter with ample liquidity, including $62 million of cash on hand and $179 million of available capacity under our revolving credit facility. Of the company's $5.3 billion of gross debt at the end of the first quarter, which included $626 million in borrowings on our revolving credit facility, approximately 70% is fixed through long-term notes. And outside of $200 million in senior notes that mature in July of this year, we have no significant maturities before 2027. We are monitoring the credit markets and evaluating options to address our July notes including the possibility of using projected balance sheet liquidity to fund payoff. Regarding our CapEx programs. During the first quarter, we spent $140 million on capital expenditures, which is consistent with our previously disclosed expectation to spend $475 million to $500 million for the full year in 2025. As we have previously said, our plan is to invest a similar amount in 2026. Beyond our CapEx plans, we are in a strong position to use excess free cash flow to pay down debt as quickly and efficiently as possible. With that, I'd like to turn the call back over to Richard.
Richard Zimmerman: Thanks, Brian. As we look towards the rest of the year, I'd like to take a few minutes to expand on our strategic road map and how we're positioning Six Flags to deliver sustainable growth in 2025 and beyond. First and foremost, as I mentioned earlier, we have made significant progress on our merger integration and synergy realization plans. From a systems perspective, our IT integration is on-track. Guest data across all parks will be migrated to our in-house ticketing platform by year-end, providing a seamless experience for all park pass holders and enabling a more unified approach to pricing, promotion and CRM. Integration of the full technology stack remains a multiyear initiative, although we're pleased with the groundwork that has already been laid to advance that effort. Our ongoing portfolio optimization efforts are another key to our strategy to strengthen the business and realize the full potential of the merger. I'm pleased to say that these efforts are well underway as evidenced by the recent announcement of our plans to close our Maryland parks after the 2025 season. The decision of Sunset Six Flags America and Hurricane Harbor at the end of this season was a difficult but necessary one. A decision that aligns with our broader priorities to simplify our operations, reduce portfolio risk and focus resources on high-margin, high-growth parks. Proceeds from the divestiture of noncore assets such as this will support debt reduction and the transactions are expected to be cash flow accretive, reduce our leverage ratio and modestly improve EBITDA margins. It's premature to provide a specific timetable for the sale process but it's reasonable to say it could take 12 to 18 months or more to complete. Along with other asset sale efforts, including excess land adjacent to King's Dominion, near Richmond, Virginia, we will work diligently with our real estate advisers to execute these transactions as efficiently as possible while maximizing value. As it relates to future divestiture of assets, we don't have any plans to close any additional parks at this time. We will continue to evaluate all options and consider other potential transactions to enhance shareholder value. In the meantime, we are excited at the prospect of operating all 42 of our parks for the 2025 season. We have also made great progress building out our capital plans for the next few years, with our capital strategy remaining disciplined and tightly aligned with our growth priorities. As Brian mentioned earlier, we still expect to invest approximately $1 billion of capital projects for the 2025 and 2026 seasons. Should macroeconomic conditions meaningfully change, we will have several levers at our disposal to reduce our use of cash, most meaningfully is our ability to quickly adjust the scope of our CapEx program. Approximately 30% of our annual CapEx budget is allocated to infrastructure projects that are more discretionary, have shorter lead times and can often be delayed until later periods. Along with our ability to adjust our operating cost structure up and down to match demand levels, this affords us the flexibility to rationalize our use of cash should market conditions change materially from plan. We will continue to be disciplined and nimble in deploying capital. Despite broader concerns around the economy, we remain focused on executing our strategic road map, driving top line growth, capturing synergies and resetting our cost structure, optimizing our portfolio of assets and improving capital efficiency, which positions Six Flags well to deliver quality earnings growth substantial free cash flow growth and enhance value for our shareholders. We are excited to share more details of our long-term strategy at our upcoming Investor Day, where we will outline our growth objectives through 2028 and the pathway to a 40% margin and a clear line of sight for unlocking more shareholder value. In closing, I want to thank our associates for their commitment to delivering an exceptional guest experience to the investment community. We appreciate your continued support and confidence and look forward to keeping you updated on our progress as we pursue our long-range targets. Abby that concludes our opening remarks. Please open the line for questions.
Operator: [Operator Instructions]. And our first question comes from the line of James Hardiman with Citigroup.
Sean Wagner: This is Sean Wagner on for James Hardiman. I believe the 36 additional operating days works out to about 2% growth in operating days in the second quarter. How do you expect the tender and sales growth in that quarter to compare to that number?
Richard Zimmerman: I'll let Sean, it's Richard. I'll let Brian take the number aspect of it. What I will say, I'll reiterate what we said in our guidance, we, from the beginning, have believed that second and third quarters are where the opportunity were as we look at the combined Park portfolio. So all of our emphasis is -- we believe those are higher-margin days. We believe those are going to be highly accretive, and we see really strong demand heading into the second quarter and third quarter days. Brian?
Brian Witherow: Yes, Sean, we don't have specific quarterly guidance. I'm going to couch my comments carefully here. As Richard mentioned, the focus coming into 2025 was about optimizing the operating calendar and taking out lower value days in the first and fourth quarter or maybe you characterize a slightly different in, say, days that have a lower ceiling and maybe a lower floor at the same time because of the variability of weather. Adding back days in the second and third quarter, will be higher value days that we believe not only represent the ability for higher margin days, but also higher attendance days.
Sean Wagner: Okay. And I guess is there any quantification you can give us on the Easter and/or Boysenberry Festival shifts? And now that Easter is behind us and most of the Boysenberry Festivals has occurred. Do you expect to make all of that up in 2Q? Or did poor weather kind of hold any of that back?
Brian Witherow: Well, certainly, weather has been, as we noted, a factor in April. We said weather and led by the Midwest -- it wasn't exclusive to the Midwest, but the Midwest was the most impacted. We lost, as we noted on the call, in our prepared remarks, about 175,000 visits over that last half of the second -- the last 2 weeks, I'm sorry, of April. Boysenberry is still ongoing. The event isn't over. It runs through May at the middle of May at Knott. And so Boysen and will have sort of lapped by the time we get to the end of the second quarter. We do believe, as we were just talking about the opportunities to add those days in May and June are going to be greater or have greater upside than what was potentially lost in April because of the weather. Now May and June could also face weather issues. That's the uncertainty of an outdoor entertainment business, but we're excited about the potential that May and June represent with those incremental operating days.
Sean Wagner: Okay. And just to clarify, is there any quantification you can give us on, I guess, the attendance impact that the Easter or the Boysenberry Festival shifts had?
Brian Witherow: Boysen would have been the most pronounced and Boysenberry, now again, the event is not over. So I don't want to give an uninformed number on boys. And I think we'll be in a better position to tell you exactly shifted after the Boysenberry event has fully wrapped.
Operator: Our next question comes from the line of Steve Wieczynski with Stifel.
Steve Wieczynski: So Brian, I just want to clarify something. I think you mentioned -- I'm pretty sure you mentioned in your prepared remarks that you're expecting the first quarter attendance to represent I think you said about 5.5% for the full year and then first quarter revenues to be about 6% for the full year. And that's different than what I think it was in your release, I think your release says that it should be about 7% for both. I assume that's more historical versus anything else. And just want to clarify that I heard you right there because I think there's a lot of folks and investors out there that are kind of a little bit panicked about what was in the release.
Brian Witherow: Yes, Steve. The 7% would be more of a historical or what we would normally expect coming into a year given some of the headwinds around timing of operating calendars and other factors. The pace that we're on right now, you heard correctly. On attendance, we're currently tracking where first quarter would represent 5.5% of full year attendance based on our outlook over the balance of the year and revenues closer to 6%. And which is inside of what would be a normal course or historical pacing for the first quarter. The most -- I think the thing -- the key thing to take away is that the first quarter is not a material quarter by any stretch. It's a very important quarter from a setting up the stage for getting the parks ready to open. In terms of the trend lines, as we said, it's somewhat of an inconsequential or not indicative quarter when it comes to what full year potential looks like.
Steve Wieczynski: Okay. Got you. And then second question, probably for you, Richard, but I want to ask about the decision to close the Six Flags Park in Maryland. But look, I guess the thesis is essentially shut the park down that land there. I mean I'm from Maryland, that land has to be worth a decent amount of money, and then you'll be able to keep the majority of those folks essentially at your Kings Dominion Park, which is relatively close in the grand scheme of things. So I guess the question is, as we kind of look across your portfolio, I know you said you're not actively looking to shut other assets down. But to me, it would seem like there are other opportunities to do the same type of thing across the portfolio. And so while you're maybe not shopping something today, is that the right way to think about it?
Richard Zimmerman: I think -- let me answer it this way, Steve. I think it's a good question. As I think about that particular land parcel, we think back to the transaction that we did at legacy Cedar back in 2022 with the land underneath our Santa Clara part. There are times where you have unique opportunities, and it's truly as unique and put the land in Maryland underneath our DC Park and the land at Richmond underneath the excess land at Richmond, both have huge potential to generate values that's far in excess of what we think we can produce in terms of results going forward. So when we look at the ability to redeploy capital. We try to be good stewards of the capital that's invested in this company. I think we've got an obligation to spot these types of opportunities and act quickly on them. So we're going to move as quickly as possible while maximizing value, as I said in my prepared remarks, we do have now parks all across North America. So there's lots of opportunities for people to buy tickets to our parks in every region, including the D.C. area, the Baltimore area and down through Raleigh and Richmond as well. But when we think about the rest of the portfolio, we'll continue to evaluate where there are other opportunities. We don't see as much an opportunity on the underlying land at this point under the rest of the portfolio, but there may be an opportunity, as we said, to maximize value as we think about some of our smaller locations.
Operator: And our next question comes from the line of Arpine Kocharyan with UBS.
Arpine Kocharyan: So Brian, Richard, I entirely hear you on the Easter shift and even kind of moving out of Q1 into Q2. But then we have sort of April that's tracking a bit softer than what would have been implied by kind of the Easter shift? And I understand you talked about sort of weather impact. I guess my question is, what gives you confidence to keep the guidance here? It sounded like you haven't really seen much impact from kind of the weakening consumer in your business. Is there anything else you're watching closely -- but I guess the key question is, what are those early signs that you're seeing that gives you the confidence to keep the guidance unchanged here? And then I have a quick follow-up.
Richard Zimmerman: Let me jump in here and say that we do remain confident in our ability to hit our full year numbers. What we watch are both long lead indicators, and we've talked at length today about season pass sales, but also what we're seeing. As we look at the information that becomes available as we open up parks how they're performing. We opened up Cedar Point last Saturday and then 47 degrees and a driving range that was almost sideways. We had almost 18,000 people in the park because they were there to ride the reopened top 32 and they were able to experience there on opening day at Cedar Point, which is a long-held tradition. So that type of demand when we see that and a level of demand in less-than-ideal weather gives us real confidence that we look at things. I know when we also watch and I know there's a lot of concern about the health of the consumer. When we look at how our consumer is performing, let me give you a little backdrop of one thing that we watch. When we look specifically at the e-commerce channel and what we sell through our e-commerce channel, since -- on a year-to-date basis since January 1, we're up 1% in unit volume, and we're up mid-single digits on price, if you average out everything that we sell through that channel. So we continue to see a wellness of the consumer to recognize value and dip into it. And then lastly, the other thing that I'm really excited about, we've talked at length about our approach to food and beverage and the ability to generate more transactions, grow revenues within our Food and Beverage segment. We renovated 11 restaurants across the portfolio, converting them into what we call our crew serve model. The model that improves service capacity allows us to increase menu variety and the ability to drive a higher check average through -- the results have been outstanding and encouraging. Per capita spending is up year-over-year at all 11 locations. The average transaction value across the 11 locations is up almost 10% and five of the locations of increased transaction accounts by more than 50% and 4 of them have doubled the transactions. So it's not just pricing, it's also the ability to get people to buy up the menu because we have higher quality items that they'll choose. But it's also the ability to drive that revenue in a very efficient way. And when we look at it, that's part of the form where we're going to continue to drive that in-park spending. So that, combined with our approach to cost management, and I'll reinforce that Brian and I both said in our prepared remarks, we anticipate that operating costs and expenses will be down 3% or more in this calendar year. So yes, tough first quarter, not in the full year performance, but the ability to drive top line revenue growth really be cost efficient and take cost out of the system, which is one of the rationales behind the deal. The ability to continue to optimize portfolio. So all those things give us confidence that we can achieve the '25 operating plan, but also more importantly, set up a really successful 206 and beyond, and we'll have for everybody on that topic when we get together for our Investor Day on May 20.
Arpine Kocharyan: Looking forward to that. That's super helpful. Just a quick follow-up, Richard, if I may. In terms of your asset sales, is it possible at all to put in perspective kind of what your expectations are in terms of proceeds for the combined land sale and the Maryland sale? I guess I'm trying to understand what's the extent of deleveraging we could expect from those to the extent you can answer, understanding there could be some sensitivity around how much you can say. Sorry, I appreciate anything I could get.
Richard Zimmerman: I'll let Brian weigh in as well, but we'll have a lot more to say in terms of our deleveraging target. And how we see the -- both the proceeds from this or any other potential action between now and 2028, we'll have more to say on that on May 20. But we're looking to unlock significant proceeds, particularly from the land sales. And then will we approach anything else that have to be something that would generate significant impact but it's really about also reducing the complexity of our business model and making sure that the capital we're putting back in the business goes towards those high potential high-revenue growth opportunity sites. Brian?
Brian Witherow: Yes, Arpine, we're not going to put a specific price on those two locations. But if you were to go out and look at market a range of market price per acre, you can see a gross proceeds number that could easily get north of a couple of hundred million dollars.
Operator: And our next question comes from the line of Thomas Yeh with Morgan Stanley.
Thomas Yeh: I wanted to ask about progress on unifying your season pass selling strategy. I think you've been implementing a more consistent pricing on the legacy Six Flags footprint than was historically used. So any more color you can provide on how you've seen behavior shift on the Six Flag side, maybe both in terms of the blended pricing to date and the pace of adoption you expect and how much do you think that contributed to the gains that you saw in the last like 4 or 5-week period?
Richard Zimmerman: Listen, Thomas, it's Richard. What we saw over the last 4- or 5-week period, indeed, was indicative of where we think we could go. We strongly believe in a consistent approach to the market. So as the market understands they can they can make their own decisions on value that we provide and see that the value gets greater. We think there's a tremendous opportunity in June and July, given the membership aspect of the Six Flags program, and we've got that's sort of the installment and some of the pieces. We really do need to get back to what I laid out in my prepared remarks, which is getting everybody on the same ticketing system. We harmonized the programs at a high level. We did not want to give up on this season and we rolled out the -- all Park Passport, which lets you visit any of our parks in the portfolio. So a lot more work to do, but it's really going to be a lot easier, and we're going to be a lot more efficient and effective when everybody is on the same ticketing system when all the data is feeded into our data warehouse and the CRM folks that are on our team can go in and mine the value out of the -- our guests and the relationship we have with them and focus on driving more visits and getting more out of every visit from those set and path holders. Brian, anything you want to add?
Brian Witherow: Yes, I would just say, Thomas, we knew coming into '25 given all the efforts that Richard just talked about in terms of ticket harmonization, but also program harmonization that it was going to be a little bit bumpy as we reset the season pass and membership programs on both sides of the portfolio. a little bit later start to the year with a later Easter and maybe deferring some of the opening days a little bit deeper into the season would put us a little bit timing-wise, behind where we were last year. But very encouraged by the sales trends up mid-single-digits in terms of unit sales over the 5 weeks of April. And I think it's also important to note that there's multiple bites at this apple, right? It's not just the sale of 2025 passes, which May and June, as Richard noted, noted very meaningful part of the full sale cycle. But before we know, we'll be quickly into late summer and selling 2026 passes. And we feel we'll be in a much better place in terms of the consumers' understanding of what the program looks like. We'll be deeper into that exercise of harmonizing the ticketing platform. So we're focused right now. The teams are highly focused on the May, June window, but there's a lot of prep work going on with plans for launch later than -- and so there's multiple opportunities to really drive the season pass program in the right direction.
Thomas Yeh: Got it. That's helpful. And then maybe just a quick follow-up going off of initial question on the full year attendance implied guidance. I think 5.5% for 1Q puts you at around a 2% growth rate for the year. This might be using too much gain on a small number at this point, but do you anticipate there's room for attendance to still grow above historical trends, which I think is what guided to last quarter or it slightly lower than expected 1Q in April take you down a little bit on that.
Richard Zimmerman: Go ahead, Brian.
Brian Witherow: Yes. I was just going to say, I think you hit it on the head, Thomas, right there. There's a degree of precision that depending on whether you use 5.5% or you use 5.7% or 5.3%. And can skew things dramatically. We said that the tracking -- it's tracking right now where first quarter would represent closer to approximately 5.5%. But is there upside to that absolute math, certainly. We think there's a lot of opportunity in June as evidenced by the expanded operating calendar. We think there's great opportunity in July given the weather comps that we have from last year. So I think depending on how those things play out over the balance of the year, and what you put into your model, you can get to a number that's above the 2% for the full year.
Operator: And our next question comes from the line of Ben Chaicken with Mizuho.
Ben Chaiken: I guess first on costs, I feel like there's a pretty significant update that we kind of just glossed over -- you're saying 3% or more lower on costs. Just maybe I have a couple of clarifications here. Number one, is that all -- do you define that as all cash costs or just like the delta between revenue Point number two, is the down 3% plus? Is that a tool kind of like number that we should expect in the P&L? Or do we then need to gross that up for inflation? Assuming like our cost -- our reported costs going to be down 3% plus or up when you take into consideration? And then point number three, what changed versus your previous goal, which I think was $70 million in the year, which I don't think would have gotten to down 3% plus? And then a few follow-ups.
Richard Zimmerman: So Ben, let me jump in here first, yes. So what we're saying is, when I say down 3% operating cost and expenses, I would exclude cost of goods sold. So that's a separate calculation separate look at things, this is operating expenses and SG&A combined. So it will be down 3% for our forecast. We did say that we hit our $120 million. We hit $50 million of cost synergy savings last year. And this year, we'll hit all 70. That's how we complete the $120 million. So we're comfortable we've got the decisions in place. We're executing on the reorg. We understand the need to actually expand margins as one of the reasons we did this deal. That's tapping the potential of the merger. So as we look forward, we're continuing to hunt for a little bit more, but also emphasize that the $60 million I referenced in my remarks, sits on top of that $120 million, and that's both the impact in '26 of decisions we're making this year, but also other things that we can't get to until we harmonize the tech stack. So there's -- we're plotting out the integration and mining the fruits of the integration over the next 12 to 24 months. We're pleased we got to 50% more than the cost synergies and savings we originally promised, and we continue to look to be as efficient as possible.
Ben Chaiken: Understood. Maybe just to follow up there for a second in case I missed it. So I totally hear you on the cost ex COGS, but is that a net of insulation number? Or then will we layer in inflation on top of that? I'm just trying to modeling perspective, think about where our expectation should be?
Brian Witherow: Yes, Ben, it's Brian. That number is all-in inflation inclusive. The only thing I would call out, and I think you alluded to this in how you asked the question, that would be excluding any integration or other adjusted EBITDA add backs, like severance as we go through this reorg effort there'll be a chunk of severance over the second half of the year related to that. So really looking at your sort of recurring normal course operating costs and expenses, inclusive of SG&A in that target.
Ben Chaiken: Understood. And then what are the $60 million. And I totally appreciate the incremental $60 million that are coming out in '26, which is, I think, a new data point. Can you maybe dive in about what encompasses those $60 million? And is that also a net of inflation number as well
Richard Zimmerman: We'll have more to say in a couple of weeks as we look at the profile of our 2028 target. But I would say, as I said, some of that is the residual impact, the remaining impact of decisions we're making in real time as we go through reorganizing our company, some are things that we can't get to until next year. We're still building out the operating plan. But we think that, that level of savings takes a big chunk out of the inflation impact in next year. So Brian?
Brian Witherow: Yes. And I would say, right now, that target been may be slightly different. That's a gross synergy or cost savings target for '26. We'll be doing a lot more work as we get into later in the year in ’25 and building of the ’26 plan, where inflation some of the other things that may obsessed so that’s our growth incremental synergy peak that sits above and beyond the original $120 million that we had announced with the merger.
Ben Chaiken: Got it. And then just a lot in a very quick third one. In an ideal world regarding the land sales in Maryland, would you get certain entitlements on that land and Mainland prior to selling, for example, data in order to maximize value? Are you trying to do that currently? Maybe a better way of asking it?
Richard Zimmerman: We're working closely with the jurisdictions in Richmond and also in D.C. to make sure that the process yields a benefit for the company, but certainly a benefit for the community. Entitlements are always part of that process. We have found both jurisdictions extremely engaged and looking to help in the process. So I think those conversations will be productive. There's always a tug of war. There's always some tension in the time line between getting entitlements and what ultimately the property becomes when you redevelop a property and the proceeds you get. So we'll look for the intersection that maximizes value, but that also delivers it an efficient time frame and very pleased with the cooperation and the discussion so far with the local jurisdictions.
Operator: And our next question comes from the line of Matthew Boss with JPMorgan.
Matthew Boss: So Richard, maybe in light of the near-term economic uncertainty that you cited, how are you thinking about balancing price versus volume near term? And then it fix lag on the recapture opportunity from attendance just how best to think about the annual cadence of attendance recapture if we think about maybe the linearity of recapturing the lost attendance relative to investments or initiatives that you have in place multiyear.
Richard Zimmerman: Matt, I would say, as we think about the opportunity to drive market penetration, we think it's one of the key reasons to -- the key opportunities that the combined company has the new Six Flags has -- as we think about that, I think there are underpenetrated markets across the portfolio that reside from either side of the companies that came on either side of the legacy company. So -- what we have seen in the past is you get good traction in year 1, you get more traction in year 2 and there's a build. So we're going to talk about what we see over the next few years beyond '25 and early '26 as we get to May 20. So I don't want to foreshadow those comments too much because we've got a robust presentation for everybody, and we're excited to go through it. But as we think about the opportunity, it's considerable. You've heard us say that in the underpenetrated parts, if we get those underpenetrated parts up to the -- what we would say are the guide rail levels there's $10 million in the near term. There's significantly more than that in the longer term. So as we think about 2028, there is a look at how we drive demand with our capital plans, which are coming together nicely. I'm really excited about the reactions we've seen in all of the parks that have opened, and we've seen some tremendous reaction to the coasters that we're opening and that we're about to open. So I think there is a real affinity for in each of the markets, and there are as a core customers that really want to come back year after year. Our job is to execute really well, providing great guest experience and get them to come back year after year. Brian, anything you want to add?
Brian Witherow: I'd just say, Matt, at a high level, the '25 business plan is certainly built and focused around driving demand. As Richard said, tapping into the opportunities that are in front of us. But at the same time, we remain confident in our ability to improve guest spending. That opportunity will increase as we get deeper into the season, as you referenced sort of the cadence of attendance. And you've heard us talk about keeping our parks comfortably crowded. It's important as that extends length of stay. Which increases spending on things like food and beverage and drives more demand for premium experience. So while not maybe not material increases in the first quarter and in April, seeing per capita continuing to trend in the right direction is extremely encouraging, particularly as we think about some of the initiatives that we have in place. And Richard hit on it a little bit earlier in one of the and answering one of the questions about some of the early momentum we're seeing in the channel like food and beverage with the initiatives of renovating and adding food locations. So I think it's a combination of both volume and per capita. And pricing will follow, right? We'll continue to use dynamic pricing and the tools that we've always used. But one thing that we should note is we're putting a floor on pricing. While dynamic pricing cuts both ways. We're not looking to -- we've said this before and we'll continue to say, we're not discounters. We're looking to maintain pricing discipline. That's a little bit educated by our past experience that shows even in challenging economic times, demand becomes highly an elastic, meaning that there's no amount of discounting to preserve or drive preserve attendance or drive the consumer to behave any differently than they're going to. So we'll lean into pricing more than we'll take pricing down.
Matthew Boss: Great. And then maybe just a follow-up, Brian, on the cost side. Could you just walk through the puts and takes to consider as it relates to maybe this year's reset of the base relative to the underlying operating cost growth to consider as we think about relative to the low to mid-single-digit growth historically?
Brian Witherow: Yes. So I mean I think coming into this year, as Richard said in previous remarks, it's a continuation of the effort that began last year after the merger closed. Challenging for us to make significant changes in the middle of the season. So we were -- there was a lot of planning and a lot of work that was going on at that point in time, but we had to wait on a lot of those changes until after the season wrapped, which for some our parks was early November in other parks. It wasn't until early January. So the exercise to reset the cost base is across the board. It involves, as we've said, review and a reset of the org structure. It involves leaning in on other non-headcount-related cost savings, whether that be the harmonization of our IT stack or driving better terms with our vendor partners and suppliers. So there's -- it's across the spectrum, quite frankly, Matt, I would say early on, it skews a little bit more heavily. The opportunity skews a little bit more heavily on the headcount side of things. And then starts to pivot a little bit more towards the non-headcount. As Richard said, there are some things that are contractually tied up for a little longer than you'd like. And so you get to them maybe later in '25 or they're part of the '26 algorithm for cost savings. In terms of the headwinds, we're -- there's always inflation. And so we're dealing with that. But as we noted it to Ben's question, we've accounted for that in our target of 3% or more cost reduction.
Richard Zimmerman: So I really -- Matt and I jump in here. We said that this would be the great reset when we put these companies together and 2025 are proved to be that. When we talk about re-architecting our business, it's not just re-architecting the org structure, we've gone in and applied a lot of science, benchmarking different sites against each other. We've gone in and taken the time to redo our decision-making processes. So this was a holistic look at our organization, not just the structure, but how we make decisions. And I'm really pleased at where we're coming out and how we've clarified within the organization and we'll clarify how we be as effective as possible while being as efficient as possible. And we're really driving this business through the use of KPIs and embedding the data and analytics around those KPIs and all the decisions we're making.
Operator: And our next question comes from the line of Michael Swartz with Truist Securities.
Michael Swartz: Maybe just with all the macro and consumer uncertainty out there. Maybe if we just take a step back and go back to prior periods of consumer weakness, where do we typically start to see some of the cracks in the foundation as it pertains to your business?
Richard Zimmerman: Good question, Mike. It's Richard. When I think back to '08, '09, we saw it going into '08, '09, season pass sales were significantly lower we saw group bookings, not just eroding, but we actually had groups calling us up in canceling. And when we looked at our resort bookings, they just weren't -- they dropped off considerably heading into season. We're not seeing any of that, as I said, we worked backwards here. We've seen a 10% increase in opening weekend of Cedar Point and bookings for that weekend. So people are booking later, but they're booking. We've seen an increase in our small group booking channel, which is our -- or groups that are 150 to 100, that's showing strength. Youth and student groups are showing a lot of strength. So we're not seeing it there. We are seeing companies being cautious, but we're also seeing companies saying, I may not book my spring out and what you got available in the fall. So they're looking a little bit longer. But with season pass north of 50%, 55% to 60% of our attendance we really watch that channel most closely. And again, what we saw, and I'll go back to what I said about our e-commerce channel, just looking at everything we sell on our e-commerce volume up 1%, pricing up mid-single-digits. It means that we don't see the erosion of the consumer that maybe some other businesses are seeing. That's not to say that it's not there in other sectors. But our consumers and our markets are reacting the way we would expect them to as we head into late spring.
Michael Swartz: Okay. Great. That's super helpful. And then maybe 1 question on the first quarter. And I know there's a lot of noise in the quarter given the timing of Easter and some of the calendar shifts. But when I look at the legacy Six Flags business, it looks like the rate of EBITDA decline was nearly triple what it was last year. Maybe just help us unpack what -- why that was?
Brian Witherow: Yes, Mike. So I think as you look at the 2 sides of the portfolio, we certainly with the 6 side of our portfolio, the Six Flags parks more of those opening up earlier. We invested, and it's a big chunk of the timing difference I mentioned on the cost side. I'd say more of it is happening from the cost side is we brought forward a lot of off-season whether you want to call it maintenance or preopening costs. We brought a lot of those from a timing perspective earlier in the year here in 2025. And so that's a bigger part of the equation on our Six Flag side of the portfolio. On the Cedar side, a little bit more of the headwind is related to the shift of Knott's Berry Farm, but that's really the only part that we have on that side of the portfolio that has any significant or meaningful first quarter operations. On the S side, we did see a little bit of headwind on some of the calendar issues but not as demonstrative as maybe what we saw with Knott's Berry Farm's, Boysenberry Festival.
Operator: And our next question comes from the line of Ian Zaffino with Oppenheimer.
Ian Zaffino: Great. Thanks very much. I know you talk about F&B and we seem to be [indiscernible]. But have you seen any type of shift on the F&B side. So is the uptake on more discretionary F&B, if you call it that along those lines. Is there any type of softness or anything along those lines there? Or is it pretty much as robust there as it is kind of in the other F&B offerings?
Richard Zimmerman: Yes, Ian, it's Richard. You broke up a little bit. I think you talked about the various pieces of F&B. I would say we've seen strength in our meal category. We've seen real strength in beverages. We've still seen great strength in adult beverages, really has been across the board. Weekend by weekend, I would tell you that if it's a rainy weekend, you don't get much snack selling to stacks go down a little because length of stay is probably not the same. But we've seen on normal same-day weather, the same-day weather, sunny weather, strength across all the things that we track. And we still got -- I mentioned the 11 locations that we've already opened. We still got a couple more we're going to open in May. And I will tell you here at our local Charlotte park, we're putting in an adult swim up beverage bar that is just everybody has been asking me about. So we see the desire of our consumers to really come and enjoy the food and beverage segment and which really seemed to resonate as a guest satisfier. We like it as a revenue growth potential, but it also is something people talk about and one of the reasons they keep coming back.
Ian Zaffino: Okay. And then maybe to broaden the question, just geographically, can you maybe tell us how the business is kind of geographically, some of the competitors have commented on like West Coast softness. Have you seen any of that at all? Or is it pretty much broad-based geographically stable?
Richard Zimmerman: I would say, Brian can weigh in here. But I would say what we've seen as Brian referenced it is because we had a couple of inclement weather weekends, rainy weekends, Midwest and East Coast, that's sort of colored it. But no, when we've had good weather, we've seen what we would expect to see throughout all the regions. But again, it's a limited sample size at this point. We're only 15% of our operating days in. So it's a little hard to get a read on the whole portfolio when the whole portfolio is not up and operating. That will be in early June when everybody is 7 days a week. So that's when we'll have a real meaningful look at the different regions. But I will say, historically, what we've seen, the Midwest has been rock solid the last 4 years. That's continued to perform really well. The coast have a little more impact from weather, particularly on the East Coast. But what we like about and we'll talk about on May 20, the geographic diversity means we don't have more than 30% of our attendance or revenues in any particular region. That well-diversified model is one of the keys to doing the merger and why we feel really good about really good about that diversification, although it does take that adjustment for Brian and I, any time you look at the weather map, we've got parks everywhere. So if there's weather anywhere, it's going to be near us.
Operator: And we appreciate your patience. We have five questions left in queue, and we would like to take them all. Our next question comes from the line of Chris Woronka with Deutsche Bank.
Chris Woronka: Thanks for working overtime on the -- I was hoping they talked a little bit about guest mix at 6 logs. I know you guys -- you did the chaperone policy when you closed the deal last summer. I know there was a little bit of near-term disruption with that. But looking forward, and I understand your commentary about pricing on Six Flags legacy passes maybe being flat. Do you think you can get to where you want a mix this year? Or is that more of a multiyear project.
Richard Zimmerman: As I think about the guest mix, one of the things I'll go back to is how we think about capital. And we've always said and we'll reiterate as we talk about this business, we think there's a rotation of in any market of thrill rides, family product and water product. You see that in our mix this year. We've got water park renovations and expansions at L.A. and Dallas, you see coasters in several parks. You see here at Charlotte and a couple of other markets, family product going in. I think what we've seen, Chris, is the broad profile of what we would expect to see as we broaden our mix. So the markets are reacting -- Chaperone policy has been helpful in the key markets across all of our companies. And we use that extensively. But I do think when you offer things that appeal to different segments, you'll start to broaden your base overtime.
Chris Woronka: Okay. And then a quick follow-up just related to also kind of a CapEx question, which is, I know you said about 30% of your CapEx might be infrastructure. I don't think that relates to any of the maintenance stuff you were working on at Six Flags with respect to lighting and the little things that had kind of gone on over the years. Are you satisfied that as you head into peak season at the legacy Six Flags parks that you -- you've got all the little things that need to be fixed or they're kind of in place by now.
Richard Zimmerman: Yes. I'll let Brian weigh in. We continue to look at things that we can do to improve the guest experience. We prioritize those things that I think the guests give us much value at listen, as a guy that ran a part, I will tell you, I walked the site that I was responsible for the first year and 10 years later, I still haven't gotten to everything. So the list is always long. We see things that sometimes our customers don't, but they're important to us. So we're going to continue to make improvements year-by-year and make sure that we're giving priority to those things, the guests value most, which is why we're so focused on food and beverage because we get a lot of credit for that. There's high perceived value and it really drives our demand.
Operator: And our question comes from the line of Lizzie Dove with Goldman Sachs.
Lizzie Dove: So I know there's a lot of moving pieces, but just to kind of round everything out with the kind of calendar shifts you mentioned in 2Q and 3Q and kind of timing of cost shifting and attendant shifting. Any help on how to think about the kind of cadence of EBITDA for the year. I think the midpoint would imply the next 3 quarters grow around, call it, 15%, but I'm curious if that's more weighted second quarter, third quarter, fourth quarter based on just some of the operating calendar ships that you mentioned?
Brian Witherow: Yes. Lizzie, it's Brian. I mean as we said, the biggest opportunity and the focus coming into this year was second and third quarters. I think third quarter is pretty obvious to everyone is it's the lion's share of the operating calendar. The second quarter represents some great opportunity, particularly May and June, given the expanded number of days in those months. As we said on the call, those 2 quarters together have the potential to be 95% or more of full year EBITDA. And so again, a lot of the timing is often influenced by macro factors like weather. And we've always been very confident then when weather can be a little choppy early in the year, you still have plenty of runway to make it up. So it gets difficult to be precise in an imprecise world like that. But I think the second and third quarters to provide the opportunity to be a significant part of the growth story for 2025.
Lizzie Dove: Got it. And then, Brian, I think you said up front that you're expanding your operating calendars and particularly at some parks where you see the opportunities for attendance the greatest. I'm curious, like, which are those parks? Where you see the biggest opportunity or kind of turnaround story or uplift story from here, I think you would consider to be, call it, your most core parks.
Brian Witherow: Yes. So as Richard mentioned, there's a number of parks in the portfolio that, from a penetration rate lower than some of the better-performing parks. There's -- and so we'll focus on those. I think it's also important to call out that the planned operating calendar changes the additions we're making, those are always -- there's always a little bit of a degree of variability to that, meaning that when weather is a little unfavorable, we're going to manage that day maybe out of the system from a cost management perspective. And when we see strong demand, particularly, and this is more of a comment that you would see us make changes maybe late August and into the fall. When we see strong demand, we're not afraid to add days in and ride that demand. So I think if you look at the operating calendar, you're going to see some very obvious things we're adding some days back in June at 6 lags over Texas as an example. And we think that, that makes a lot of sense in that market. But there are a number of other markets in the system that we see a lot of opportunity for [indiscernible] a fast-growing market. We're continuing to look to find ways to add days in the fall where we can tap into strong momentum.
Operator: And our next question comes from the line of Brandt Montour with Barclays.
Brandt Montour: So just on the pass sales, digging in a layer deeper, you gave the overall pass revenue pace you gave the pricing between the legacy -- the legacy systems. I was wondering if you could maybe talk about it on a volume or unit basis. Just sort of when we think about the different pricing, and I understand there's different strategies, but just to give us a sense on sort of momentum on the different programs.
Brian Witherow: Yes. I think in terms of -- maybe I'll try and answer it this way. In terms of the outlook, we're trying to drive higher volumes on both sides of the combined portfolio. Consistent with the attendance trends coming into this year, where our legacy Cedar side of the portfolio, attendance was back to near pre-pandemic levels. The season pass base is somewhat reflective of that. On the fix side of our portfolio, attendance is still well off of pre-pandemic levels. And because season pass and membership is such a big part of our overall attendance you can assume that the past basis is down as well to pre-pandemic level. So the volume opportunity, much like for attendance, is higher on our -- at our 6 parks, but we're not satisfied and going to sell for the volume numbers that we have on the Cedar side as well. So we're going to lean into both if I was trying to separate between the two, I'd say the opportunity for volume is higher on the side right now than the cedar side of the portfolio, the pricing, we can be a little bit more aggressive as we noted in our prepared remarks on the cedar side because of that.
Brandt Montour: Okay. That's helpful. And then just a bigger picture question on the full year guidance, obviously reaffirming EBITDA. And you called out macro in the release, and you've got some of the moving pieces a little bit better on OpEx. And obviously, 1Q was a bit tough versus plan. But when I take a step back and think about all the comments you guys gave today about demand momentum and what you're seeing in terms of top line KPIs does it seem like you're implying any change to your plan for top line for the year, but please let me know if I'm sort of walking myself off a cliff here.
Richard Zimmerman: No. I would say, listen, we are encouraged by a number of things we're seeing at the KPIs that we look at. We came in thinking that there was meaningful top line growth to go get. We still believe that. So we're chasing that hard. We're also trying to be as responsible as possible on the cost side and make sure that we -- as we've talked at length on this call, get to the meaningful cost savings that combination of driving the top line and meaningful cost reduction should drive a healthy increase in margin. But I've commented throughout this call in various channels. We see things that are encouraging. But I'm looking forward to getting all 42 of our parks open, so we can get a real read on where everything is.
Operator: Our final question comes from the line of David Katz with Jefferies.
David Katz: I appreciate you staying on just a little bit longer. Just very quick detail. Number one, there was some discussion about a couple of hundred million in deals. And I think what we heard is American hurricane was 100-plus, but there's a couple of hundred. Could we just unpack that a little bit? Are we -- what else is in that couple of hundred, are you ready to talk about that at this point? Or are we saving that for Ohio?
Richard Zimmerman: No, I'll let Brian clarify, but the comments about the real estate value of the land in Richmond and the land in D.C. could be $200 million or more, I think, is what we said.
Brian Witherow: Correct. Yes. We're not putting a price on anything separate at this point, David, and we're still working through the process with our real estate advisers and I'm going to try, as Richard said, maximize those values. We were just trying to put a neighborhood. If you look at market prices out there on a per acre basis, you can get the math that's north of $200 million for those two combined locations that we've talked about to this point.
David Katz: Understood. And then just my second question is I hope you would just give us a little insight on the technology side of things. And I know, Richard, you've talked about analytics being kind of a decision driver. How much of that is technology-driven and what inning would you feel like you are at in terms of kind of pushing that part of the company going forward? I know that it was a legacy 6 issue.
Richard Zimmerman: I would say this. I think in terms of what we desire to have I think we're in the middle innings of building a lot of that out. Dashboards are coming online virtually every week on different KPIs. We found a way to migrate data over, so we can have the information we need, but we need to go back to the underlying tech stack and get everybody on the same system, whether that's the same POS system. We found ways as you would expect us to get the data pulled out, a little more cumbersome, a little more clunky I would say we know where we want to go. We're in the early innings of the tech stack integration, but we're making progress fast.
Operator: And that will conclude our question-and-answer session. I will now turn the conference back over to Mr. Richard Zimmerman for closing remarks.
Richard Zimmerman: Thanks for joining us on today's call. Brian, Michael and I look forward to seeing you -- many of you on Investor Day, if you decided to share our perspective on the growth potential of a larger and more formative Six Flags as well as our planned for monetizing the growth for the benefit of our shareholders and other constituents across North America and beyond. We will be sure to keep you updated on our progress along the way. Michael?
Michael Russell: Thanks, Richard. Please feel free to contact our IR department at (419) 627-2233 and our next earnings call will be in August after the release of our 2025 second quarter results. Abby that concludes our call today. Thank you, everyone.
Operator: Thank you. And ladies and gentlemen, again, this concludes today's call, and we thank you for your participation. You may now disconnect.